Operator: Good morning, ladies and gentlemen. And welcome to the Empire Third Quarter 2025 Conference Call [Operator Instructions]. This call is being recorded on Thursday, March 13, 2025. And I would now like to turn the conference over to Katie Brine. Thank you. Please go ahead.
Katie Brine: Thank you, Ina. Good morning. And thank you all for joining us for our third quarter conference call. Today, we will provide summary comments on our results and then open the call for questions. This call is being recorded and the audio recording will be available on the company Web site at empireco.ca. There is a short summary document outlining the points of our quarter available on our Web site. Joining me on the call this morning are Michael Medline, President and Chief Executive Officer; Matt Reindel, Chief Financial Officer; and Pierre St-Laurent, Chief Operating Officer. Today's discussion includes forward-looking statements. We caution that such statements are based on management's assumptions and beliefs, and are subject to uncertainties and other factors that could cause actual results to differ materially. I refer you to our news release and MD&A for more information on these assumptions and factors. I will now turn the call over to Michael Medline.
Michael Medline: Thanks, Katie. Good morning, everyone. Before I jump into the quarter, I want to take a few moments to talk about the other announcement we made earlier this morning. I never like to see a valued colleague leave the fold but when they have made the decision there, I can only feel a sense of happiness for that person. And after six years with the company, the last six as Chief Financial Officer, Matt Reindel will be retiring. As you all know, Matt has been an incredible partner in helping drive Empire's turnaround. He played a critical role in helping business navigate the challenges brought on by the pandemic while also guiding us through a period of high inflation and interest rates with both rigor and a passion for the business. He has been instrumental in building the foundation for our ongoing success. He will be missed by all of us at Empire, but he will fortunately be around for a little while longer. We are fortunate to have found a great new CFO. In May, we will welcome Costa Pefanis as Executive Vice President and Chief Financial Officer. Costa is an experienced and an experienced and immensely capable leader who spent 19 years with Leon's Furniture Limited and was most recently with Green Infrastructure Partners. He will play a critical role in helping drive Empire's results in the years to come. We are grateful that Matt has agreed to stay on for a number of months to work closely with Costa and ensure a seamless transition. Onto the business. Q3 was the latest in a string of quarters where we continue to see improving momentum in our results. Same store sales have strengthened for the last four quarters and we continue to show increased discipline in managing our margins. But the numbers at face value do not tell the full story. While SG&A is slightly higher than Q3 last year, a large part of this increase is due to the accounting for long term share based incentives, which Matt will give you more details on shortly. So with an even stronger quarter than it looks like first glance. Today, we will focus on 3 topics, our Q3 results and market trends, a quick update on our e-commerce business and an update on the current volatile environment. First, our results and Q3 market trends. Our food sales grew 3.1% this quarter with same store sales of 2.6%. This was supported stronger top line performance in our full service banners and continued performance in our discount banner. Both of these channels continue to grow faster than their respective markets and in bricks and mortar. The gap between full service and discount same store sales continued to reduce this quarter. We're seeing positive same store sales across all of our regions and all of our business units. Last quarter, you may recall we saw smaller declines in the average basket size. This quarter, for the first time since Q1 F24, we see growth in our year-over-year basket size, which is a big step in the right direction. And with regards to inflation, adjusting for the temporary tax break on select goods, our internal inflation is below the low CPI food inflation purchase from stores. In the previous two quarters, we said that we started to see green shoots and early indicators that customers are returning to more favorable and predictable shopping behaviors. We continue to see these trends come to life and improve in Q3 where we saw outsized growth in our fresh department, which indicates customers are starting to trade up from non-fresh to fresh products and importantly, a decline in promotional penetration. Gross margin continued to improve this quarter, driven by operating efficiencies and a strong focus on executing with excellence in our stores. Margin improvement of 43 basis points was consistent with last quarter. As I've said in the past, this is not due to one silver bullet, it is many small but meaningful actions that continue to benefit us over time. We have now made significant advancements in our stores in areas like shrink and also through the ongoing deployment of space productivity and across our supply chain. Collectively, these initiatives have enabled us to become more efficient and more nimble, which is of even greater importance in this current environment. Overall, we delivered adjusted EPS of $0.62, which was consistent with prior year. While this may look like a flat quarter at first glance, we actually delivered better results in our core operations, which Matt will touch on in greater detail shortly. And now for a quick update on our e-commerce business. We had total e-commerce sales growth of 72%, generated by strong double digit growth in Voilà and a strong start to our partnerships with Instacart and Uber Eats which as of two days ago and are now across the country. Voilà has seen its results improve every quarter this year, shifting the team's attention to focus on our operational CFCs and improving profitability was the right move. Our new customer acquisition strategies in tandem with the cost reduction initiatives across our delivery and CFC operations are beginning to deliver real results on both our growth profile and on the bottom line. We are pleased to continue to see overall Canadian e-commerce penetration growth and the interplay between Instacart and Uber Eats with Voilà has proven to be highly complementary. We are excited by the growth potential of our e-commerce business and believe we have the right assets in place to effectively serve this growing market. All right. Now to the current environment. Since we spoke to you in December, there has been a significant rise in unpredictability in our operating environment with the political shifts in the US and tariffs, and it is unclear how this will play out over the next several years. While we have strong plans to deal with the direct impacts of retaliatory tariffs, we don't want to downplay the risks that exist. The uncalled core tariffs and the retaliatory tariffs represent a real threat to the Canadian economy. Uncertainty and volatility have been recurring themes over the last five years through events like COVID, high inflation, high interest rates and natural disasters, and we have continued to get better at executing in these types of environments. Through all of this, our main focus has always been protecting and continuously enhancing the value we offer to our customers, and this remains true today. Let's talk about tariffs in more detail. Unlike many Canadian companies, Empire is not directly impacted by US tariffs and our industry is fortunate to be in a much stronger position than many others. However, retaliatory tariffs impact us in three ways. They drive us to reduce reliance on US sourcing, put pressure on our suppliers and may result in a weaker Canadian dollar. First on US sourcing. In a normal environment, average across the year approximately 12% of our products in dollars come from the US and retaliatory tariffs would, in theory, lead to higher import costs on these items. However, this 12% number has been decreasing over the last year and will continue to as we shift our supply to meet our customers' growing demand for Canadian and non-American products. American products we are selling as a percentage of our total sales are rapidly dropping. We have heard loud and clear from our customers that they want Canadian products. Fortunately, for us, supporting and promoting Canadian products is part of our DNA. We've moved quickly to further elevate our local strategy, making it easier for customers to make informed choices about Canadian products. As well, over the years, we as a company have developed a much larger and diversified source of supply to proactively manage threats, such as natural disasters or product shortages in geographic regions. Now we have developed good alternatives in nearly every category. Our most challenging category to mitigate the threat of retaliatory tariffs is produce where in Canada, in the winter, we do not always have viable alternatives. We could see an impact here either through increased cost or reduced assortment if the product is no longer competitive on our shelves over time. However, our suppliers have been good partners in helping us to mitigate the potential impact so far. Our supplier partners with US based production are directly impacted by retaliatory tariffs. This puts pressure on them. And as a result, they may be looking to pass these increased costs on. Some have begun to test our position on this. We're navigating a period of uncertainty and we are focused on ensuring the reactionary or unnecessary costs are not passed on to customers. We're managing the short to midterm through fair but often tough discussions with our suppliers and we've been pleased to see many of our suppliers proactively coming to the table with solutions. A great example is Lindt. Last week, they announced publicly that while historically 50% of their chocolates in Canadian stores come from their US factories and the rest from Europe. By the summer of 2025, 100% of candid supply will come from Europe. As well in speaking to some of our other suppliers, many do not see the benefit of trying to pass on tariff costs right now for two reasons. First, they do not want their product to become less competitive on our shelves as a result of higher prices. And second, the backdrop is too volatile right now with the on-again, off-again approach to tariffs. Instead, they are focused on thoughtful solutions like looking at alternate sources of supply for input materials or alternate locations for manufacturing. Like us, our suppliers are working hard to minimize the impact to customers. Our national sourcing team is working closely with our suppliers while we are also continuing to further diversify our supply. At the end of the day, we all want to remain competitive and are working towards the same goal, protecting the value we deliver to customers. Another factor we're keeping a close eye on is the US dollar. This is an inherent risk we face doing business with companies outside of Canada. Since many of our suppliers, both in the US and internationally transact in US dollars, shifts in exchange rates and a weakening Canadian dollar do have some impact. However, this isn't an overly material risk for us at this point in time and we have a hedging program in place to help mitigate any short term fluctuations. Ultimately, the biggest risk for us is not actually in our own business but the impact on the Canadian economy as a whole. I do not want to downplay this, a weakened consumer environment will hurt the retail sector as a whole. We do not know what will happen yet but we feel as prepared as possible with the right team to manage through this current environment. Now looking ahead, while we don't make it a habit to talk about the quarter we're currently in, we feel we owe it to you to give some insight in these especially volatile times. As I mentioned earlier, we have been well positioned in supporting Canadian products for some time. Even before tariff tensions began escalating, we have seen sales of Canadian products outpace our overall sales growth. And while it is still early days, we are now seeing this pick up further, especially since implementing new store signage and shelf labels to help customers find Canadian products. As well, when we look at Q4 quarter end right now, to date we're about halfway through our quarter. And from an overall top line perspective, we see similar momentum to Q3, quarter-to-date sales are off to a solid start. Now before I hand it over to Matt, I want to close by saying that while we are operating in a strange and unpleasant times and you would think it would be easy to have a doom and gloom mentality, it has been truly incredible to see Canadians come together. This is a strong and proud country. And as always, pulling together, we can weather in each store. And with that, over to Matt.
Matt Reindel: Thank you, Michael. Good morning, everyone. I will provide some details on our Q4 performance and then our expectations for the remainder of the year, and then we'll open it up for your questions as normal. So let's focus on Q3 first. Consumer behavior continues to gradually improve. And combined with strong execution on our initiatives, we delivered another quarter of solid financial performance. The highlights were improving top line momentum and continued gross margin expansion. Q3 adjusted EPS was $0.62, which was flat year-over-year. However, other income and share of earnings from equity investments were $11 million lower than last year. When you exclude these items from both years, our adjusted EPS was $0.03 higher than last year. Our food same store sales was 2.6% in Q3 which was 70 basis points higher than last year and 80 basis points higher than Q2. We continue to see sequential same store sales improvement in both full service and discount and across all regions. And as Michael mentioned earlier, we also see continued momentum halfway through Q4. Our gross margin rate, excluding fuel, increased by 43 basis points versus last year, which is stronger than expected given the tough year-over-year comparisons. Similar to recent quarters, gross margin expansion stemmed from disciplined management and in-store efficiencies such as improved shrink. While we are trending higher than this in fiscal '25, our medium term expectation continues to be delivering 10 to 20 basis points of gross margin expansion per year. Now let me talk to SG&A. In Q3, after excluding adjusting items in both years, SG&A dollars grew by 4.2% year-over-year. However, this growth was mainly due to the accounts for our share based long term incentive programs, which was impacted by our share price appreciation and [vesting] level. Our SG&A rate when excluding adjusting items was 26 basis points higher than last year. The benefits from our cost reduction initiatives may not manifest themselves in a straight line. And quarter-to-quarter, we may be impacted by factors that are beyond our control, such as the impacts of the share incentive program I just mentioned. So while the increase in SG&A of 4.2% was a little higher than we would have liked in Q3, we remain confident in the cost control measures that we've put in place. Our other income and share of earnings from equity investments came in as expected being $11 million lower than last year, reflecting lower gains on disposals and our investment in Scene+, which was impacted by increased member participation and higher redemption of its loyalty program points. For fiscal '25, while we continue to expect our pretax aggregate contribution from other income and share of earnings from equity investments to be in the range of $135 million to $155 million, we do expect to be at the higher end of that range. Our effective tax rate for Q3 was 27%, which was higher than the 24% we had last year. The revaluation of tax estimates pushed our tax rate higher this year but have the opposite impact last year. For fiscal '25, excluding the effects of any unusual transactions or differential tax rates on property sales, we continue to estimate that our effective income tax rate will be between 25% and 27%. Our balance sheet remains strong, driven by solid cash generation and disciplined capital spend. In Q3, our CapEx was $188 million, mainly on store renovations, construction of new stores and IT investments. We remain on pace to spend $700 million on CapEx in fiscal '25 with approximately 50% of this investment being spent on store renovations and new stores. Our share buyback program is on track towards the $400 million intention for fiscal '25. And as of this week, we've repurchased 8.6 million shares for a total consideration of $340 million. So to cap it off, we're very pleased with our Q3 performance where we delivered improvements across many key financial metrics. Now before I hand the call back to Katie, let me say a few words about my retirement. Firstly, I very much appreciate those kind words from Michael earlier, so thank you for that. I must say that leaving Empire will be bittersweet. I've thoroughly enjoyed my time and I'm very proud of what we've been able to accomplish over the past six years, particularly the sustainable platform we've built for the future. But as we come to the end of our current three year strategic plan and begin planning for the next cycle, this is the right time for me to step aside and allow Costa to come in and partner with Michael. So I'm really looking forward to seeing what the company will deliver moving forward. And with that, I'll hand the call back to Katie for your questions.
Katie Brine: Great. Thank you, Matt. Ina, you may open the line for questions at this time.
Operator: [Operator Instructions]. Your first question comes from the line of Irene Nattel from RBC.
Irene Nattel: Before I ask my question, congratulations Matt. We will definitely miss you. Happy to hear that you're going to be around for a little while. As for my question, I'm wondering about the encouraging signs that you're seeing in terms of consumer spending behavior, basket up, can you talk about the composition of the basket, I even count categories and whether you're seeing anything to -- any offsetting still signs of -- observe more cautious?
Pierre St-Laurent: There's many indicators trending in the right direction year-over-year. So yes, same store sales. But we're particularly pleased with the growth we have in fresh, which is one of our strength. So fresh is growing faster but it's growing in every category right now. Basket size is growing. People are shopping less stores. They are back to a more natural behaviors. It's not natural to shop many stores when you have good offering, good value in the stores you're shopping. So this is a good -- so transaction continues to be up, but the biggest thing is basket size, a new net per basket is going up and the biggest growth is coming from fresh.
Michael Medline: Irene, it's a good answer by Pierre. And I just want to add that to your basket question, we're not seeing any warning signs at this point. In fact, if we didn't know about, if we didn't read the newspapers or -- and watch TV, we wouldn't know anything was going on. When we look at our numbers, they continue -- we continue to see the momentum we saw in Q3 and the green shoots that we've been talking about for what we've been predicting for 18 months. We've now been seeing four quarters in a row and so for the quarter, things are normal. And we're not seeing anything -- any cautious behavior rather than, as I said, customers are checking the label to see where things are made.
Irene Nattel: And then just one other question, if I may. On e-commerce side, great to see the increase in volume coming through the partnerships. What is your loyalty data telling you at this point about any conversion from, let's say, Instacart and Uber Eats into Voilà?
Matt Reindel: And as you know, that's a key piece of our strategy moving forward is to take as many of those immediately based customers and convert them onto -- and put them onto Voilà. I would say it's probably a little early, Irene. It's -- as excited as we are about the opportunity and the increased sales of this immediacy type business giving us, we've really just started. So we do need some time to get our feet under the table and begin to mine the data and start to convert those customers over to Voilà. So I would say it's really too early yet.
Operator: And your next question comes from the line of Chris Li from Desjardins.
Chris Li: Please let me add my congratulations to you, Matt, and all the best as you begin the next new chapter of your life. Michael, thanks so much for all your comments about sort of the impact on tariffs. And my question -- first question is, if you assume the tariffs go kind of full impact on April 2nd, how quickly and broadly will we see high inflation through the grocery store? And when one kind of -- sort of ascertain is -- like is it going to be more gradually in a manner where maybe the consumers can manage it or do you expect kind of a really a big spike right off the bat from a inflation perspective, assuming if those tariffs have full impact on April 2nd?
Pierre St-Laurent: So as Michael said in his introduction, it's good to remember or remind that our exposure to US product is around 12% annually. So this is not the biggest portion of our sales in stores and it's declining. Every week, we are seeing a decline -- a rapid decline of US product sales. So our exposure will continue to reduce over time. And we are in winter and I guess, summer is coming. So our exposure will continue to decline over the next quarters. And as you know -- so right now, US products are in decline and without tariffs on it. So imagine the day we will increase if we have to increase, this is not our intention so far. When product will be 25% more expensive, the US product, I don't think people are interested to pay more or to pay 25% for US product right now. So we feel pretty good. And like Michael said also, in most categories, we have alternative from Canadian on non-US products in every single categories offer an alternative at a reasonable cost or lower cost than US product for our customers. So we feel pretty good. And that you know what over the last years, including in produce, we developed a very diversified source of supply for produce around the world for obvious reasons. So even in produce, the team feels really, really good to find alternative and work with suppliers to avoid any potential inflation. And again, 12% on annual basis, it was for the last 52 weeks and it's declining right now very quickly and summer is coming and people are not interested to pay 25% more for US products.
Chris Li: And my other question is just on e-commerce. As just mentioned, Voilà is posting continued to post very solid double digit growth. Your competitors are also posting solid growth as well. So my question is, just based on your data, is Voilà maintaining or growing market share? And also, secondly, I just want to confirm that the losses in Voilà are continuing to improve on a year-over-year basis on [Technical Difficulty].
Pierre St-Laurent: Yes, e-commerce penetration is growing like Matt said, the same store sales from Voilà is growing. We are focusing on the existing CFC and we're seeing benefit of focusing on the existing one. I think it was the right decision to focus on the three we have right now. And we are very pleased with the same-store sales for our CFCs. We're very pleased also with the improvement we're doing on the bottom line and efficiencies. The team is doing an amazing job to optimize everything without compromising sales growth and we're very, very pleased with the progress we've made so far this year. And with the partnership so far and like -- that said, early days, we just launched Quebec and Atlantic two days ago. But so far, we're not seeing cannibalization and we're seeing a growth in same-store sales at Voilà as today. So this is the situation. And Michael and Matt, do you have something else to add?
Matt Reindel: Just to cover Chris Pierre's second point, yes, all CFCs are improving their financial performance, their losses are decreasing. So as we've said on many IR meetings now Voilà is accretive to our business starting in F25.
Chris Li: And just maybe one quick follow-up just because you mentioned the third party partnerships. I know it's still early for you guys, but I'm wondering as the third party e-com revenues continue to grow, how much of the pressure do you think they would have in terms of fees on your SG&A expenses? Do you expect on an EBITDA basis, yield more than offset by just a higher basket on the gross profit? So maybe on an EBITDA basis just new -- just thinking about the pressure on SG&A expenses as the third party revenues continue to grow?
Michael Medline: Unlike Voilà where we know that we are making losses. On the -- this immediacy type business, we make money from day one. So this is immediately accretive to our business. Of course, we have to pay some commissions. So the profitability is not as high as it is for a regular purchase in a store but it immediately is accretive to earnings per share from day one.
Operator: And your next question comes from the line of Tamy Chen from BMO Capital Markets.
Tamy Chen: I wanted to go back to your comments on the quarter-to-date fiscal Q4. So you've had a couple of quarters of sequentially improving cost, which has been great to see. When you talk about this momentum that has continued so far in Q4, I just wanted to clarify, are you continuing to see your comp so far this quarter accelerate sequentially like it has the last couple of quarters? Is that what you mean specifically by the momentum?
Michael Medline: It's a good question and a good try, and I've got to be careful what I say, obviously. And what I wanted to say because we are getting so many questions about what's going on with current unpleasantness is that we were experiencing solid and consistent results. So I don't want to comment any more than that. I just wanted to give our owners, our investors a sense that so far they don't have much to worry about.
Tamy Chen: And I had another question on e-commerce here. So from what you can see in the industry, would you say the growth in this channel here for the industry is more in that immediacy? And with respect to Voilà, like, can you remind us, is there any way for Voilà to be able to service itself that immediacy or I cannot and your -- your focus is to just try to convert those Uber and Instacart customers to Voilà which is not immediacy?
Michael Medline: Let me cover both, and Pierre can chime in if he would like but -- so in terms of the growth. So we're seeing growth in both parts of the sector. So there's growth in the immediacy segment and there's growth in what I would call the Voilà segment. So we're seeing growth in both, which is great news. And then in terms of could Voilà service immediacy, the answer is yes and no. Yes, in that our technology, we could service immediately through the Ocado delivery platform but it's not really set up to do that. So when we set up that business, it's based on a much bigger basket. It's based on a full shop and that's really where the efficiency of that model comes from. So what we're in now is a nice sweet spot whether we're letting Voilà look after the full basket with a much bigger basket size and the immediacy covers a smaller basket size and that kind of immediate need for delivery. So yes, right now, we're happy to leave both operating in isolation.
Operator: And your next question comes from the line of Vishal Shreedhar from National Bank.
Vishal Shreedhar: Just with respect to the volatility that you referenced in your prepared remarks at the beginning of the call. Wondering how Empire is thinking about maintaining or creating some sort of flexibility to adjust to whatever the backdrop may present? So I know it could be pressure on the consumer or pressure on inflation or both. And this is at a time where population growth is slowing and certainly, industry square footage growth is increasing. So just as you look at this volatile time period and granted you've operated through a few of those different types of volatility time periods. How do you think about this and being able to preserve that financial framework that you set out?
Michael Medline: First of all, I don't like predicting the future especially in these kind of times. But I don't think it's going to be our business, which is highly, highly affected by all this. We'll be affected but we'll be able to roll with the punches and I think the industry will, to be honest with you. So the bigger worry is if or when there's going to be more of an impact on the Canadian economy from this -- first of all, from the uncertainty, not knowing any real byproducts of this. And I think we've shown in the past that we're -- as you said, we're really good at that. But even in times of whereas the wins in our sales, which it may not be, by the way, we can navigate. I like the strategy we have right now in terms of being able to grow our business and be very safe going forward. We've never seen cash generation in our history like this because of our -- because we changed the way we do business and we're better operators now and better executors. And I believe that there are advantages to being a Canadian based retailer, which keeps the money in our country and that many Canadians will appreciate that. So although no one likes these volatile and uncertain times, we'll be strong like this country is strong. And I don't -- we're not -- we -- every day, you pick up -- you open your phone, there's new news. If you wrapped into every piece of news out there, you'd be with and along, you wouldn't be able to operate a business anymore. We're -- we don't do that. We're going to be calm and strong like the rest of this country. And I think that we're going to do pretty well through this. But we just -- we have to acknowledge these are strange times.
Vishal Shreedhar: And shifting to shrink, wondering how that is evolving and in particular, on the US based products, are you seeing that shrink magnify and is that a headwind?
Michael Medline: No, it's very early days but we're not seeing any shrink from US suppliers right now. And overall, into this quarter we continue to improve shrink, which is good for our margin, but it's not only that like we said at the beginning. So it's one of the elements. And it's an area of focus to continue to deliver good margin and continue to reinvest in good pricing. So shrink continued to improve but we're not seeing any particular change in the US products so far.
Operator: And your next question comes from the line of Michael Van Aelst from TD Cowen.
Michael Van Aelst: Happy retirement, Matt, when that day does come. I wanted to touch on a few of the items that were already brought up, but in different -- a little differently though. First of all, very impressive growth on the e-commerce. But if we assume your e-commerce penetration is about 4% -- 4% or so. Would this mean that pretty much all of your same-store sales growth is coming from e-commerce at this point?
Michael Medline: No, not even us, it's mostly the same store sales growth is coming from our bricks and mortar by quite a margin. So no. And off line, I think, Matt, you could talk to us.
Matt Reindel: Just to echo that. Even if you excluded all of the Uber and Instacart sales, right, the entirety of it, our same store sales would still be higher than it was in the previous quarter. So it's giving us a bump but it's the core business that's really generating the improved momentum.
Michael Van Aelst: Yes, we'll move -- handle that offline. And then your Scene+ loyalty costs that are in investment and other. So that increase that we saw, was some of that an accounting adjustment and others higher redemption rates or is that all something that we should expect to continue going forward? Unknown Executive No, it's not something you should expect to see going forward. So basically as one of our peers did with the loyalty program, what we are seeing in these current times is very high member participation and very strong redemption rates. By the way, that's a really good thing for our loyalty program, that's exactly what we want, it's high member engagement. But when you actuarially determine your loyalty liability, you're using assumptions and those higher redemption rates means a higher redemption assumption. So that's basically what that was for us because we don't consolidate Scene, our investment in Scene as an equity investment. We have a 33% ownership in that program. So we take a 33% of the profits and loss of that entity every year into our P&L. So when that loyalty liability was revalued based on the latest assumptions on redemption and we take our share of that adjustment. So it's not something that we would expect to see every quarter, it's something that we saw just in Q3.
Michael Van Aelst: And then last question is on the tariff impact on produce. I know even product that comes up from Mexico or sometimes in South America, like it's coming up through the US many times. Is that to your knowledge -- to your understanding the tariffs would still be applied to product coming from Mexico, for example, through the US into Canada?
Pierre St-Laurent: It's a bit complex but -- and the simple answer it's no. When it's coming from a different country than US, we're not having to carry tariff on it. And as you said, we have good source of supply in South America, in Europe, in North Africa. So yes, produce is an area where we have more exposure to. But again, it's a small portion of total sales. As we said, 12% today on US product, including produce and it's going down rapidly. So I don't have the exact number for produce but produce is a portion of it. But when you look at total sales, it's marginal. And yes -- but it's not really the tariff situation will impact the produce inflation, it's the Canadian dollar. All the transactions now are traded in Canadian dollars. Canadian dollars having an equal impact or maybe more sometimes than the tariff on produce inflation.
Michael Van Aelst: And just last question. Can you just update us on your square footage ambition -- growth ambitions for both fiscal '25 and fiscal '26?
Matt Reindel: So as we've said recently, I think we're targeting approximately 1.5% square footage growth. Again, as we finish kind of the [meet] of our renovation cycle, we can start to allocate a little bit more capital away from renovations towards new stores. It's not a massive change but it's a notable change. So 1.5%, and that's a net number, right? So we still have some locations that we might close like in convenience and liquor. There are some tangential stores we might close. So it's a net number. But 1.5% is a good number for a couple of years.
Michael Van Aelst: And is that the case in fiscal '25 or will that kick in, in fiscal '26?
Matt Reindel: No, it really starts in fiscal '26. We will have a small increase in '25, but it's more in '26.
Operator: And your next question comes from the line of Mark Petrie from CIBC.
Mark Petrie: I'll echo my congratulations to you, Matt, and wish you all the best on your next chapter. First, just on gross margin, hoping you could talk a little bit more about the trends that you've seen there and specifically, the promotional penetration that you called out now sort of falling year-over-year. Do you attribute that entirely to sort of the market and the consumer or were there some shifts in your tactics or execution that would have contributed to that?
Pierre St-Laurent: Our execution is very consistent, very good discipline over the last quarters. We continue to see that discipline very good promo mix management, very good usage of promo optimization tools that we implemented years ago and the team is working really well with it. But as we said, the promo penetration is going down slightly, which is good for pressure on margin. So it's one element but it's not the only element. As we said earlier, the mix of sales is improving because we're selling more fresh products and grocery products. We're having less shrink. The TPR is lower than it was at the same time last year and there's continuous discipline and execution in merchandising and in store. So it's a lot of things, a little bit on customer behaviors. They are back to more natural behaviors compared to last year at the same time but it's a combination of many small things.
Mark Petrie: And I wanted to also ask about sort of price gaps between full service and discount channels overall. Do you think these have shifted over the last year at all? And I know you don't talk about regions but I'm interested to hear any sort of specific comments about the Quebec market just given that's the auto market where you have a discount presence. And so just wondering if you've seen the market evolve with regards to price gaps.
Pierre St-Laurent: The gap is declining and it's an area of focus for us. There's two elements we have to consider when we look at it, the effective price index and the regular price index. So we're very competitive on effective price index. We're very pleased with our performance with promotional. And if you look at what we're doing right now in different markets, we are providing guaranty of lower prices with a verified price. So this is very good. So we're very, very competitive in full service stores versus discount with our verified price promise to customer. So we're looking at regular prices but we're also looking at everything together, including [Technical Difficulty] [tunnel], which is called effective price index. And the gap with discount is declining because we know that value is important for customers.
Mark Petrie: Maybe just a follow-up quickly. Does that approach in Quebec affect the promotional penetration at all or is that sort of a separate piece of what would be impacting that?
Pierre St-Laurent: No, I think it's full service. We have a consistent approach across the country.
Operator: And your next question comes from the line of John Zamparo from Scotiabank.
John Zamparo: I'll add my congratulations to you, Matt, and all the best in your next chapter. I wanted to come back to the same store sales performance subsequent to the quarter. And I wonder in the context of whether you think the theme of buying Canadian is positively benefiting Canadian retailers and not just Canadian CPG brands. So in other words, do you believe you've seen increased market share over the past couple of months or is the same store sales performance more a product of a relatively resilient consumer or the internal efforts you're putting forward?
Michael Medline: It's so early to -- I don't want to say anything -- it's a trend or go overboard on anything. I think a lot of it is -- I don't want to take away from the execution that you're seeing. You've seen that quarter-after-quarter now at Empire, so I'm not taking away from that. But I do think that there could be some tailwind for Canadian retailers as opposed to those retailers that are seeing us not Canadian. But early days and we'll see -- and I wouldn't want to overstate it at this point.
John Zamparo: On food inflation, I wonder what kind of increases you're seeing from your largest vendors? And is it fair to expect an uptick in inflation solely from that factor or maybe it's wage contracts that were agreed to in the past couple of years. Is it fair to expect an increased inflation just from those rather than the impact of the US dollar or tariffs?
Pierre St-Laurent: It's a bit tough to predict. But the thing we have -- if we remove the highly volatile situation with tariff, our estimate is an inflation around 2%. And when we look at this conversation we have with suppliers right now when we avoid the conversation on tariffs and we're looking at regular cost increases or whatever, we are in that range right now. And the quantity of cost increases are in a more normal -- again, removing tariff conversation we're in a more normal base right now. So this is why we feel comfortable to say we're in the range of 2% inflation next year without tariffs.
John Zamparo: And then lastly from me on the cost side. Can you remind us of the cost initiatives that you have underway and whether they might contribute meaningfully over the next one to two years? In the past, you've referenced a few related to the supply chain or better execution. I wonder if you can add some more color there.
Matt Reindel: I mean, the three big initiatives we had on the cost reduction initiatives were supply chain good enough for resale and the organizational restructuring, we did. So the restructuring is done, the benefits of that were taken in F25. On good enough for resale, we have taken some of the benefits in F25 but there will be more to come in F26. And I would also say that the fantastic work that's been done by the strategic sourcing team will continue. Again, it's one of these gifts that keeps on giving. We built muscle there to make sure that we continually challenge all of our costs and negotiate our costs to make sure we're bringing those costs down. So that should be something that continues to give benefits. Perhaps the biggest one is supply chain. We've said this before that this is a mixture of short, medium and long term opportunities. So over the short term, you can do quickly renegotiate your line rates, your costs, you take -- you negotiate cost out of your existing contracts. So some of that can be short term. The more medium term when we start talking about things that -- freight as a service or how we can optimize our network is our medium term. And then longer term, you can really look at the -- how you're set up across the whole country in terms of logistics and the number of DCs and the investments in automation and things like that. So yes, supply chain is a big opportunity for us and we should continue to talk about that every quarter, because there's a whole series of initiatives that will deliver value short, medium and long term.
Operator: And we have a follow-up question from Mark Petrie from CIBC.
Mark Petrie: I just wanted to ask about the e-commerce growth. What's your sense of the overall market growth in online grocery and do you get the sense that it's accelerating or stable or decelerating?
Michael Medline: It was pretty stable there for a while. In the last quarter or two, we've seen acceleration in the e-commerce penetration in the market. I think -- and it's a good acceleration. I wouldn't -- I'm not doing a jig yet. But it's certainly improving and we expect it to continue to improve. And that's obviously part of the reason we're seeing better results out of our three CFCs.
Mark Petrie: Okay, thanks for that.
Michael Medline: Great questions today. Thanks to everyone today.
Operator: Thank you. And there are no further questions at this time. I will now hand the call back to Ms. Katie Brine for any closing remarks.
Katie Brine: Great. Thank you, Ina. We appreciate your continued interest in Empire. If there are any other unanswered questions, please contact me by phone or e-mail. We look forward to having you join us for our fourth quarter fiscal 2025 conference call on June 19th.
Operator: Thank you. And this concludes today's call. Thank you for participating. You may all disconnect.